Operator: Ladies and gentlemen, thank you for standing by. And welcome to the NeuroOne Medical Technologies Corporation First Quarter Fiscal Year 2023 Financial Results Conference Call. Today's call will be conducted by the company's Chief Executive Officer, Dave Rosa; and Chief Financial Officer, Ron McClurg. Before I turn the call over to Mr. Rosa, I'd like to remind you that this conference call will include forward-looking statements within the meaning of U.S. Federal Securities Laws with respect to future operations, financial results, events, trends, and performance, which are based on management's beliefs and assumptions as of today's call or other specified date. Forward-looking statements may involve known and unknown risks, uncertainties, and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. See NeuroOne's corporate update press release and SEC filings for information regarding specific risks and uncertainties that could cause actual results to differ. Except as required by law, we undertakes no obligation to update such forward-looking statements. With that said, I'll turn the call over to Dave Rosa, CEO of NeuroOne. Dave?
Dave Rosa: Thanks, operator, and thanks everyone for your attendance today. During our first fiscal quarter, we achieved one of the most significant milestones in the company's history when we received FDA 510(k) clearance for the Evo sEEG electrode for less than 30 days use. Zimmer Biomet is still targeting the end of the first calendar quarter of 2023 to begin a limited commercial launch. We're particularly excited about the synergies that exist between using Zimmer's ROSA robotic platform, which with our Evo sEEG electrode. The company also shipped the initial Evo sEEG limited market release order to Zimmer Biomet during the first fiscal quarter and continue to manufacture product to meet additional orders for a future full product launch. We also made tremendous progress with our OneRF therapeutic ablation electrode system as we completed a successful animal feasibility study with Dr. Jamie Van Gompel at the Mayo Clinic in Rochester, Minnesota. The results confirm that the system is capable of both recording brain activity and ablating brain tissue using the same electrodes. I'm also pleased to report that we met our goal of completing the development of the system by the end of calendar year 2022. We are excited that the system is performing to our specifications and our final steps are to complete design validation testing. We also remain on target to submit a 510(k) application to the FDA early in the second calendar quarter of 2023. Now I'll discuss our efforts in developing electrodes that could be used for chronic stimulation and recording. Our focus remains on treating chronic back pain due to multiple failed back surgeries. Our goal is to offer a percutaneously placed paddle electrode that can be deployed in a comparable manner to existing percutaneous systems, while offering an increased stimulation area, improved conformability and lower energy requirements. We have already developed and tested percutaneous delivery system prototypes that have received positive feedback from key opinion leaders. The company also engaged in discussions with potential strategic partners and are exploring opportunities to expand our offerings to other markets. While there is nothing definitive yet regarding these discussions, I am pleased to see the level of interest in our technology. We are also continuing to explore the potential for our technology to offer the ability to deliver genes or drugs as well as record the agent's impact to the patient. We expect to conduct preclinical feasibility studies to assess the device's potential, but are enthusiastic based on physician feedback to date. The company was also active with poster presentations highlighting the Evo sEEG electrode performance at the following meetings. Congress of Neurological Surgeons, Society of Neuroscience, and the American Epilepsy Society. Our products were also displayed at the Zimmer Biomet booth at the CNS and AES meetings. We will continue to target key society meetings to present our data in an effort to increase our exposure. And relating to increased exposure, I also had the pleasure of being interviewed on the show Mornings with Maria during the quarter as well. In addition, the company was invited to ring the NASDAQ stock market closing bell to celebrate the FDA clearance milestone for the Evo sEEG technology. Thanks for your time and attention. I would like to now turn the call over to Ron McClurg for a more in-depth review of our fiscal first quarter financial results. Ron?
Ron McClurg: Thank you, Dave. Product revenue was $115,000 in the first quarter of fiscal 2023 compared to product revenue of $34,000 in the first quarter of fiscal '22. We had collaboration revenue of $1.46 million in the first quarter of fiscal '23 compared to collaboration revenue of $6,000 in first quarter of fiscal '22. Collaboration revenue is derived from the Zimmer development agreement and represents a portion of the exclusivity licensing payment that is eligible for revenue recognition as of 12/31/2022. Total operating expenses in the first quarter of fiscal '23 were $3.2 million compared with $2.8 million in the same period at the prior year. R&D expense in the first quarter was $1.6 million compared with $1.1 million in the same period of fiscal 2022. SG&A expense in the first quarter of fiscal 2023 was $1.66 million compared with $1.74 million in the prior year period. At a net loss of $1.7 million or $0.11 per share for the first quarter of fiscal '23 compared to a net loss of $2.8 million or $0.18 a share in the first quarter of fiscal '22. As of 12/31/2022, the company had cash and short term investments of $7.6 million compared to $11.1 million as of 09/30/2022, our most recent fiscal year end. The company had no debt outstanding as of 12/31/2022. That concludes my remarks. I'll now pass it back to the operator to open up the call for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Alex Nowak with Craig Hallum Capital Group. Please proceed with your question.
Alex Nowak: Okay, great. Good afternoon, everyone. I know we are waiting for Zimmer to receive FDA approval for drill bits and some various accessories to go on the ROSA robot. And that was all going to be done after commercializing Evo sEEG electrode. So just where does Zimmer stand with those 510(k)?
Dave Rosa: Yes. Regarding Zimmer, there was only one device that required a 510(k) and that was the drill bit Alex and they did receive 510(k) clearance on that.
Alex Nowak: Okay. So with that in hand, is there anything else that - I guess what is the next barrier to doing the commercialization at the end of this calendar year? Or is it more or less getting the reps trained, getting the product out there into the field, getting the initial sites trained up. Is there any other roadblocks or barriers to watch for or is everything pretty much ready to go?
Dave Rosa: Well, they're still procuring some of the accessories. So at this time, I'm not aware that they have all the product that they need in terms of the accessories in house yet, but in terms of regulatory holdups or anything like that, there shouldn't be. And yes, all the other things that you mentioned, field training, site training, the sites have been identified, at least the target sites that they plan on going to, but all that work really needs to be done in the next six weeks.
Alex Nowak: Okay, understood. And then so, you've got the debt approved, which is great. Zimmer is committed to the launch and they're ready to go with the ROSA robots. So how do we think about that launch? Is this going to be, you know, within the next 12 months to think about, like, a hockey stick sort of worldwide launch? You're going to see it being used in a lot of ROSA cases, maybe a majority of ROSA cases or should we expect it to be a bit more of a pilot rollout to selected ROSA users, just how do we think about modeling this?
Dave Rosa: Yes. So it's not going to be a worldwide launch. The device is only going to be commercialized in U. S. So we don't have OUS clearance, but it will be a controlled rollout. So there are - I do think that the first three to six months. We're obviously going to be making sure that everything is fine with the technology, which is really why you do a limited launch. We don't expect that there's going to be any issues based on the experience that we have. But it'll be a very controlled methodical launch at least in the first to second quarter. And then after that, I would expect I mean the goal is for the technology to be used in all the procedures in all the robotic procedures.
Alex Nowak: And to that point, in the initial KOL discussions that you've had into yourself or Zimmer together, with the KOL with their initial feedback, do these initial sites intend to replace all their electrodes that they use with your electrode? Is it going to be using kind of like a one-off situation at first and then slowly ramps?
Dave Rosa: Yes, so I haven't participated in discussions about how they plan on using it when Zimmer has held the meetings. I mean, we've definitely been able to attend the sessions where these doctors have been, but the feedback was - that was really requested was on the electrode itself and the feel of it, the tactile feel of it, the features of it. There was definitely no discussion about using this in just select cases. There would be no reason to use any other electrode, over our electrode. And at least none of that ever came up in any of the discussions that I participated in or had ever heard of. So this is intended to be a replacement for all of the sEEG electrodes that are being used today.
Alex Nowak: Okay, that's great. And then just two more questions that the first one is just any update around the pulse generator that you plan on using for the product you use electrode? I know you've talked about some potential some strategic partnerships there in the past. Is there any update? And then just the second question was with regards to capital, needs for capital. Just how to think about that? And should we also think about there could be, whether it be something similar to Zimmer where you have non-dilutive capital come and through a partnership?
Dave Rosa: Yes, so I'll answer the capital part first. So yes, I mean at some point, during the course of 2023, we're going to need capital, but regarding the ablation technology that I talked about. We'll just say there's been strategic interest in that technology. So, the goal here is to explore non-dilutive capital first. And those discussions are happening now that's always going to be the first option. And if not, obviously, there's other ways of generating capital. We have an ATM in place. We can always do a capital raise as well. But our efforts right now are really focused on non-dilutive capital, because of the interest in the ablation system that we have. And I'm sorry, but I forgot what your first question was.
Alex Nowak: That's okay. Just any update around the pulse generator for chronic use?
Dave Rosa: No I mean, the same options that we had before, we still have. So there's really nothing new with that. What we are working on in addition to the electrode is now we have to start designing the connectors so that the electrode can communicate with the system that we're intending to use. But nothing further on negotiations or anything like that.
Alex Nowak: Okay, understood. Appreciate the update. Thank you.
Dave Rosa: Thank you, Alex.
Operator: Our next question comes from the line of Ben Haynor with Alliance Global Partners. Please proceed with your question.
Ben Haynor: Good afternoon, guys. Thanks for taking the questions. Just wanted to check one thing, did you say Zimmer is launching - when they are launching by the end of this calendar quarter was it the end of this calendar year?
Dave Rosa: It will not be this calendar year. It would be calendar quarter.
Ben Haynor: Okay. I thought I heard that right, okay just making sure.
Dave Rosa: Don't scare me.
Ben Haynor: Okay. So that - maybe I misheard it, I apologize. And then, can you characterize kind of the product forecast on the sEEG electrode that you've got and any implications that has for manufacturing on your end?
Dave Rosa: Yes, so I mean, we have forecast that Zimmer has given us over the next 12 months. We're actually manufacturing right now as I said in my comments, units for the rest of the year. So I'm not sure in essence what you're - if you're wondering like what the impact is from a manufacturing capability is that where you're going or is it something different?
Ben Haynor: Well, yes I mean, I know historically or at least at points historically, you've mentioned that the product forecast is that Zimmer has given you that - maybe been increasingly favorable or aggressive, I don't know, in the right way to characterize it. But just kind of getting at - trying to get what their outlook is, has that changed any positively or negatively? And then does that change - what activities you have to undertake on the manufacturing side?
Dave Rosa: Well, I think you always have to be concerned with your supply chain being able to meet, not just demand or the forecast that you have, but beyond that. So that we've been spending a lot of time with our supply chain to make sure that they can exceed what we're doing. So in terms of Zimmer and their attitude, I think Zimmer has always been excited about this technology from the time we signed the contract a few years ago. I mean this is the technology that's really synergistic with their robot. And they remain at least in all the discussions, I have with them just as excited to get going as we are. So, I would say there's really no change. I think there's been this pent-up excitement that all of us been waiting for over the last year and hopefully in the next couple of months, we'll be able to start the show.
Ben Haynor: And then you mentioned a couple of months you've got AANS meeting coming up here. Are there any activities you planned around the U.S. sEEG electrode that you've been privy to with the Zimmer launch or at that show or anything special plan that you can share?
Dave Rosa: Yes, I don't know what the plans are for that show outside of exhibiting. I think we also have to be careful especially when you're doing a controlled launch that you don't go out and try to bring too many sites on at one time. So as I said earlier, it's going to be a very controlled methodical launch, where we walk before we run just to make sure everything's performing the way we need it to, and make sure that we have the product supply that we need when there's a full launch, but nothing that I'm aware of yet.
Ben Haynor: Okay, no problem. And then a couple on the kind of R&D project, you're going to submit OneRF in a couple of months here it sounds like it. What's going to be beyond the V&V and - the additional animal testing there?
Dave Rosa: Yes, I mean, it's really documentation beyond that and it's not trivial. So we've completed, let's just say, we've gone through the heavy lifting. I mean, I'm not trying to minimize the amount of testing that has to be done, because it's not trivial. But once we got the design behind us and the development behind us and some of these additional feasibility studies. I mean, we feel really good about the technology and where we're at that, we will be able to submit sometime early in Q2. Now that's barring anything unforeseen in this DB testing. I mean, there's always something that could come up. But so far, I mean, last few months, we've been doing of testing with the system and are really encouraged with the performance.
Ben Haynor: Okay, great. And then on the drug delivery device that can stimulate and record, is that something that you could actually generate some near-term revenue for drug trials and such for research use only applications. I know you mentioned you plan a preclinical study, but how quickly could there be revenue associated with that device?
Dave Rosa: Well, it's not like you're starting over from scratch to develop this. Now if you were going to develop your own drug pump, that obviously would add to the time. But what we're trying to do is to really leverage the design that we have now to be able to do this with an off the shelf system to the drug pump. So near term revenue, I mean it depends on how you define near term. I mean this is not expected to be a PMA with an extremely long development process. But we have to make sure that we can deliver the drug in an efficacious way because there are things that you have to take into consideration in terms of backflow and even drug dispersion that we've only done some initial testing on. So if your question is really like in the next 6 months, no, I don't think we'll be ready to generate revenue in that timeframe, but the goal here is to expedite this as quickly as we can. And I do think Ben that the feedback that we have is that, it would not only have a place for research studies, but it could also have clinical benefit. So with the device in place, you could deliver a drug theoretically through the lumen and actually see the impact to the brain tissue that a neurosurgeon is intending to remove. And depending upon the reaction to that drug, it may inform the surgeon that this may not be a good thing to do to remove this particular tissue. So there's definitely some therapeutic benefit to what this can do clinically as well. And we're investigating whether or not we can proceed with this with a 510(k).
Ben Haynor: Okay. Okay. So stay tuned there. And then lastly for me, regarding the spinal cord, still electrode, anything we should be on the lookout there for in kind of the near term maybe on potential for a partnership agreement?
Dave Rosa: Yes. That I can't talk about because I mean there is a possibility, but there's really nothing I can report at this time. I do think you'll see some additional reports on just preclinical testing that we're doing and really in particular how we're going about it. But as far as any strategic discussions and things like that, that's going to take some time assuming that it continues to move forward. So really can't talk anymore about that.
Ben Haynor: Okay, got it. Thanks for taking the questions guys and congrats on the progress.
Dave Rosa: Thanks, Ben.
Operator: And we have reached the end of the question-and-answer session. And I'll turn now - turn the call over to Dave Rosa for closing remarks.
Dave Rosa: I just want to again thank everyone for joining the call today. Please stay tuned for future progress. I think we really think it's going to be an exciting year this year with respect to the new technology that we've been developing. Thanks again and have a good evening.
Operator: And this concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.